Operator: Greetings. Welcome to the BioLargo Third Quarter 2023 Earnings Results Conference Call. At this time, all participants have been placed on a listen-only mode. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, Brian Loper. You may begin.
Brian Loper : Thank you, operator. Good afternoon, everyone, and welcome to BioLargo's Q3 2023 quarterly results conference call. By now, everyone should have had access to the earnings press release, which was issued last Wednesday, prior to market open and the 10-Q report filed with the SEC. This call is being webcast and is available for replay. In our remarks today, we may include statements that are considered forward-looking within the meanings of securities laws, including forward-looking statements about future results of operations, business strategies and plans, our relationships with our customers, market and potential growth opportunities.  In addition, management may make additional forward-looking statements in response to your questions. Forward-looking statements are based on management's current knowledge and expectations as of today and are subject to certain risks and uncertainties and may cause the actual results to differ materially from the forward-looking statements. A detailed discussion of such risks and uncertainties are contained in our most recent Form 10-K, 10-Q and other reports filed with the SEC. The company undertakes no obligation to update any forward-looking statements.  And with that, I will now hand the call over to BioLargo's Chief Executive Officer, Dennis Calvert. 
Dennis Calvert: Brian, thank you very much, everyone. We appreciate your time and attention. And we got a great story to share a great quarter and a great story going forward. So we're going to cover a lot pretty quick. BioLargo, we make life better. It's a purposeful mission with special, better solutions for air water and energy. And we deploy a strategy of invention, invent it, prove it and partner it. And each of those we're going to describe in great details as we talk about our business development and how the business is proceeding. Brian so eloquently covered the safe harbor statements. And so you're well aware of that. We will be talking about forward-looking statements urge everyone to rely on the decay in the queue for the detailed risk factors. And also, once in a while, ever if you need more information, we also have a newsletter, make sure we get your e-mail, go to our block or reach out to alex@biolargo.com, alex@biolargo, let's make sure you are on that list because we do put a lot of information out. We want everybody in tune with the progress.  So who are we? We're science and engineers, entrepreneurs, passionate about making a difference driven to make life better, focus on sustainable innovation, sustainable innovation. That's the key, okay? We focus on best-in-class solutions. It's really critical, best-in-class. All of the innovation that we focus on, the ones where we really pour our heart and soul, money into is focused on high impact as a potential to disrupt the market, highly intensive engineering, lots of engineering going on and science. And of course, we focus on problems that don't have good solutions, good solutions is the key, right? We do it better.  And the portfolio of the company acts like an innovation engine. We've been innovating now for over 16 years. We have 8 technologies, 4 commercial units. We've got an engineering group called BioLargo Engineering, Science and Technology. We also have an R&D group called BioLargo Water headquartered in Edmonton, Canada on campus of the University of Alberta, a group that's received over 100 grants, and counting. Then we have 4 operating units, and these operating units are really focused on commercializing our technology: Clyra, BioLargo Energy, ONM Environmental, and BioLargo Equipment. I will point out BioLargo Equipment, the segment accounting has not been segmented yet, but it will be so Q1 2024 as we're commercially launching technologies with customers in PFAS and water treatment through our partnerships.  In each of these operating units, there's a cornerstone of technology that sort of forms the base, the base of value, the base of attention as we say, we're looking for replication and margin, innovation that can give us competitive edge supported with talent, people and services. So for Clyra, long journey, over 13 million invested in Clyra through FDA, a disruptor in the way that it's actual control can be managed in the surgical suite as well as advanced wound care, it’s chronic infected wounds.  We have major partnerships in negotiation. We're very confident, optimistic, we're moving forward. We're anxious to get them into -- across the finish line into the go mode, and we believe we're going to experience dramatic revenue and cash flow and ultimately profit from those endeavors that we've invested heavily for over 10 years. It's ideas that Clyra are now commercially exploiting, go back over 15 years since the inception of the company. And it was a difficult and arduous battle to get through the obstacles and now we're knocking on the door. Very excited about the next step of that evolution of the company.  ONM Environmental, of course, has pooph.com. If you haven't seen the infomercial about pooph.com, pet and odor control, make sure you see it. I can't even describe it, so compelling. They're just blowing out numbers through the partnership. I will describe that in a minute. And that the basis of technical innovation for ONM is odor and VOC, volatile organic compound control. And I just want to point out the beauty in this structure is that there's a number of additional CupriDyne-based products in the portfolio with similar opportunities, what's going on with Pooph as well as in the industry.  The equipment room, we mentioned that, it's water, all the water innovations within the portfolio, focus on a commercial focus. That's a little engineering services, equipment, maintenance and service. We're going to talk about the business model in a second. Battery. Battery is the youngest in the asset portfolio. We acquired this technology and in interest that's been about 8 years developing a commercial-ready design. So as we like to say, we're not in the battery R&D business. We're not in the hope we can figure it out business. We're in the making battery business. It's quite different. And so we have a small-scale facility almost finished in Oak Ridge, Tennessee want to show you some pictures and we believe we'll have these first batteries off the production line towards the end of the year and ready for additional rounds of testing, but also to start positioning for commercialization. I think it's very exciting. And so each of these represents a commercial platform potentially best in class. We believe they're best-in-class and capable of disrupting markets.  Relative to performance, it's just been a great year, best year ever, and it's getting better. I mean this is as we say, it took a long time to get here, but now that we're here and enjoying the fruits of planting seeds for well over a decade, heavy emphasis on R&D, we're now watching technologies find adoption and scale through partnerships, which is really our business model. Remember, advanced proven partner. So through Q3, about $7.9 million, well on track to do over $10 million, which, of course, is another approximately 100% year-over-year growth, maybe more. We don't really know until we get deep into the -- towards the end of the quarter because a lot of the revenue is being produced through partnerships, right? So we get a lot of that information lately. 134% over last year, pretty remarkable. And as we see a steady growth curve.  The revenue and net loss, right? So we had -- of course, we want to point out that we have noncash charges, which is commented in a public company like ours. Plus, we had some increased R&D and that R&D was associated with the build-out of our battery manufacturing operation as well as some additional R&D for Clyra and what's happening is both of those are sort of racing to take advantage of the opportunities right before us. And so it's intense focus, spending some money. But the money I want to point out was brought in through direct investment into the subsidiaries. Very important piece of the puzzle. We have got a lot of leverage because the assets are so good and the commercial opportunity is so big that direct investment sometimes can really make a lot of sense, and we certainly want to preserve the dilution impact of the parent company. So it's a good situation. And notice that it's been relatively static in terms of the amount of cash that we've used on a going-forward basis.  I will point out some of these charges like this R&D component are nonrecurring, the onetime events to build out some infrastructure to make sure that we're ready to start making batteries. Again, here, we see that the SG&A tipped up slightly. We have a lot of consultants who are involved now in the execution of our commercial strategy as well as increased marketing, just in the BLEST situation, which is BioLargo Equipment, Science and Technology PFAS and Water, we're actively engaged now in the field, in the commercial market with people, marketing, material, marketing promotion and trade show work. So a tip up in SG&A.  Again, we think really important as we're heading into the landing customers and making money mode. And we've got an opportunity that's so significant we're going to capture it. Same thing with negative cash flow, right? How much cash used. So notice this is the inverse, right? So as the blue line goes up towards the zero mark, that's less cash we used, right? And as this flips and the revenue continues to climb, it will be net cash we generated in operating activities. It's very close, it's very close. If we take out noncash charges on the operating income, and we take out the R&D expense, that number approximates about $100,000 a month, about $100,000 a month. And it's certainly manageable and we're anxious for it to be a positive number, and we believe that's on its way as revenues will continue to climb,  Net stockholder equity is important. Remember -- people don't remember, I do. We came in at about $7.2 million a debt at one point. We paid all that off. We currently have an SBA loan -- it's a 30-year, 3% interest, not really consequential. No other debt, a PPP loan that's in process to be forgiven. That's it. No converts, certainly no toxic debt and certainly no onerous debt whatsoever. We're in a good position as of the end of the quarter, about $3.2 million in cash, $3.2 million in cash and no debt. It's a very nice situation.  It's unusual, too, especially for companies that's doing so much. Part of that is we've been able to capitalize some of these ventures with direct investment, taking that burden away from the parent company. Note that we also -- because of our control position, we do consolidate those operating entities. That means that when we're spending money through a subsidiary for R&D, while the parent didn't spend the money, it consolidates and still impacts our net operating income at this stage. So that's important to decipher, okay?  They're a few highlights. These are right out of the cut. We just want to highlight them because I think they tell a really important piece of the story and 85% quarter-over-quarter is pretty dramatic and the Pooph sales, of course, are increasing. We talked about these noncash and nonrecurring expenses. R&D, of course, is one of those and mostly tied to the equipment that was acquired to build a manufacturing facility, approximately $800,000. $694,000 of that, we expensed R&D primarily because it's a pre-revenue asset, pre-revenue asset, but the equipment has inherent value. We've gone ahead and taken the R&D expense and expense all that out, but we'll have years of useful life of that. And then noncash charges, of course, are reported too.  So when you look at that net loss number and you start reversing some of those, we're getting really close to the making money mode, okay? And then we do highlight the 2 direct investments. This is important, very critical. We brought in about 5,000 into the energy company at about a $25 million valuation. We own about 95% of that. I can't remember that number 96%. And then the proceeds from Clyra over the last 9 months, quarter ending is about $1.5 million at about a $31 million valuation. And remember, we own about 53% of that company, plus 6% royalty. And we believe its valuation is going to climb dramatically. And we're anxious to prove that, by the way. I've proven that yet, but we're about to.  Okay. So remember the business deal, this is a great full story, full circle story for the company. Years of work in the field with vertical build data, develop safety profile and multiple manufacturing techniques. We ended on our patent portfolio, found the market, figured it out, long, hard, difficult work, okay? That's what we did. As a result of all that work, we were able to recruit a partner who also recruited each other for a good reason and formed an alliance where we supply a product to our partner Pooph, they buy it wholesale, cost, plus we get a little royalty on their sales. And then we bargained for exclusivity equal to 20% of their exit.  Remember, their mission, as stated when we started was to get it to about $100 million in annual revenue, and they believe it can exit between 3.5x and 7x revenue, 3.5x and 7x revenue. The key in their business model is customer acquisition at extraordinarily fast rates, highly efficient marketing. They've done a great job, and they're so excellent in making that compelling story, that compelling argument for someone who watches that infomercial and seize the marketing, compelling reason to buy. They're really good at it, and they've done a great job. And of course, they have a pedigree they having done that for 20-plus years in their careers. It's been a great partnership. We're so thankful to be there. It also validates our business model and it validates our technology. And while it took a long time, it is significant. It is significant. In fact, it's so significant that this 1 product has been able to take the company to profitability and well beyond. So if you just run that number, they're currently pushing $4 million, approximately $4 million a month on a run rate. We believe over the next year or so, they can get to $100 million run rate. And we believe that those potential acquirers will be at the table. In the event, we're able to do that, we would receive 20% of the exit.  So on the low end, that would be somewhere around $70 million upwards of plus -- $100-plus million. And we believe that, that is something that can happen in the future, and we're optimistic and confident. Why are so confident? The product is that good and the marketing is that good. And the way they're acquiring customers, last count, there was over 6,000 customers a day buying this product on 2 multiple selling channels. The CEO at Pooph, Jane presented at our Annual Stockholders Meeting just a few months ago, and we have a lot of intel there that we shared, and we just want to update and that is the revenues are growing. We're seeing the trend definitely move in a positive direction for all of us and more large retailers are coming on board. They have stated they'd be at approximately 25,000 or plus 20,000 stores under contract by the end of 2023 and at that time, it was just a few months ago, it's about a tenfold increase in what was signed up sometime around the June time frame.  So they appear on track for that, which is good. Now we do have a caveat. And the only reason we caveat is because there's a lot of things that happen. Once you secure a contract with the retailer, there's still fulfillment and marketing. There's a process to go through. So we want to just remind everyone to expect that the sales trail at some level, whether it's months or weeks and 3 months and 6 months, it's going to take months to absorb the volume that's coming, but we're witnessing it already an increasing order flow and, of course, excitement. It's just really awesome.  So they'll continue selling, of course, the big channel, Walmart, Amazon, chewy.com is a big channel. And the other thing is more products are coming for products that we're helping in the design work. We're doing product development with Pooph to find other products to add to the brand to make an impact for increased sales and cachet in the market. Okay. That's Pooph.  You haven't seen it go to Pooph said. Okay. The AC, that's our device that removes PFOS. Remember, PFAS is forever chemicals that are -- have essentially polluted our world. There's a recent lawsuit, 3M settled a multi-jurisdiction lawsuit for $10.2 billion. The largest court reform settlement in the U.S. history. It's just a few months ago. PFAS is top agenda item for the Biden administration, type target for contaminants of the decade, if not century. We've seen reports estimating the global problem could likely exceed $13 trillion, okay? Not there yet, but people are moving, regs are taking effect. And if you have PFAS in drinking water, you definitely have to make a move quickly. If you don't have PFAS drinking water, but another type of water, the regulatory bodies are making to take action.  And it's already -- we're already witnessed okay? So our value proposition is really simple. We concentrate it. The thesis is really simple. If you get super concentrate, you can manage destruction. So the business model is critical. We sell equipment, we customize it, custom integrate it. We service it. We didn't do membrane exchange throughout the project life, and we destroy the PFAS. So there's a cell, a service and a replacement. It's a great business model. And by doing that, we can save our customers a ton of money, a ton of money, plus releases in some of the regulatory birds that are so cumbersome.  So our marketing claim, which has been proven through about 13 trials where the test data was performed at the University of Tennessee has shown that our membranes can last about a year, they're so effective at concentration that when you compare the waste stream of post collection versus carbon, it's 140,000 -- 40,000. That number is correct, 40,000. So the example is if you get 80,000 pounds of spent carbon, wet carbon, laden with PFAS, which is a hazmat, okay? We can do it with 2 -- somewhere around 2 pounds and we say a range, 2 to 5. But it's an astonishing claim, okay? And we've proven it. And so now we're in the process of commercializing that technology and just a massive market.  Remember the thesis, even proven partner, a proven partner. How do you change the world, you get really good partners. We're the innovator that brings these technical solutions to market and over time becomes the technical support team that make these happen with partners all around the world. And so we've got over 100 reps now. I want to say 11 or 12 agreements, 3 channel partners, an army of reps. We have a backlog of opportunity that's presented in our first couple of wins where we're actually installing commercial systems for customers, and we have a project moving ahead in New Jersey. And we're hoping to have some significant detailed news about that soon as it's moving forward, which we're excited about.  The other is for our customers managing this regulated contaminate easy. It's easy. And ultimately, it's no cost and no chemicals. There's no moving parts in the system. Once these things are installed, they run. We can also remotely monitor them. There's a lot of detail there. It's a great value proposition and our response has been astonishing from the market. This is the actual unit on the right. It's a portable unit in a trailer. We can take it anywhere -- this would primarily be for either a small project or for a demonstration pilot. Happy to do it. What's interesting about the technology is it's so obviously scalable that we're able to show small scale viability and then by simply adding the panels, we can expand its functional use, it's scale.  And so that works really well because this equipment has been optimized for the electrolytic sale okay? And the technology is awesome. That's how that works. Russell being invited for a national presentation. Now this is WesTech on the right, and that's the Gabelli Fund Symposium for PFAS. Also, one of our lead engineers was just invited to an invitation-only meeting with the EPA about a week ago in Washington, D.C. or Randy Moore, headed out to represent us with, I don't know, probably 25 of the top engineering firms in the world and 6 or 7 innovators in the PFAS space. It was a motor for us to be there. We're on the radar. It's very good. And one of the details moving forward with this New Jersey pilot not excuse me, the commercial project was getting the state approval, which we readily we were able to secure to allow us to go into the marketplace on a commercial basis, which is pretty awesome.  So a lot of work. This has been 3.5, 4 years of work. One of the questions everybody asked is, are you sure it's scalable Yes, we're sure. Stack up the units and move more water. And so this is -- that's a 1,000 gallon a minute system on the right. Now it says 360, I want to point out that's 360 inches. And we said 360 feet no, it's 360 inches, so call it 20 by 30. It's a small building. And 1,000 gallons is a pretty big system. Some of the largest projects we've looked at you might have 3,000 or 4,000 gallons a minute. So you would have 3 buildings, right, that size, all very doable. We're thankful that the first projects are smaller because it allows us to get in the field, be more nimble and really execute in a timely way. And so this is a great start.  Of course, we always want it faster, but we're thankful and we know we've got a winner. So we're heading into commercially validating the science and the solution with a full service program, including equipment, service, maintenance, membrane exchange and disposal of PFAS. And that is a full solution. Hey, PFAS is a big one.  On the technology front, energy, right? So we acquired this technology. Remember, this is the group -- it was 8 years of R&D before we got there. We're in the battery building business in its sodium sulfur. And there's a couple of key value propositions, extraordinary efficiency 0% to 100%, 100% back. No dendrite formation. Dendrites are these deposits that form across the surface of electrodes that impede conductivity over time and make batteries lose their useful life, none of that. No rare earth elements, no lithium or cobalt on nickel, long lasting. These are meant to be stationary. They go in an array. So that's a cell that you see and you stack up the cells, you connect them and you have a battery. So you optimize the technology on the building of cells very much like a Tesla would. The difference between ours and Tesla’s we don't have lithium. Lithium is definitely a rare earth with geopolitical concern, extraordinary rising costs. And also lithium is prone to runaway fire risk very combustible. If damaged, if overheated, a big problem, I would urge you to do a search on the Internet, look up runaway fire risk, lithium batteries. It's going to shock you. How prevalent, how common, and we believe there's a gap in the market for a fixed side battery that can have performance, a better battery or a fixed site, not for a car for a fixed site, long duration without that exposure to the runaway fire risk.  Okay. So we raised about $900,000-something. Here's where it went. This is pretty quick. I'm going to point out that this is, I don't know, 3 or 4 months' worth of work, maybe 5, and we have assembled the components to be able to start making batteries. And this is located in our operation at Oak Ridge, Tennessee. It's the first time we've shown these pictures -- we're going to have some additional posting on our blog that tells the story of these because we're going to -- we're already doing sample runs, right? So as all this equipment comes in, we have to test it and work with it and make sure we understand and have it running exactly as required. And then it becomes an assembly line, taking a battery through this process. We're very excited because we'll be making batteries very, very soon. and it's really cool. It's really cool.  Okay. Why BioLargo? We would argue, these are arguments, right? And we can debate that -- we'll debate a little bit together. The business model is a powerful business model. It's kind of a hybrid. We're not just licensing. We're licensing and supplying across multiple markets with a lot of talent in-house, part of that talent we had to build, it was expensive, costly, took a long time.  But we did so, so that we had the ability to go into a service provider role and sell our technology into the market so that it could find an adoption and as we do that, it becomes incredibly powerful as a tool in the hands of partners. We can help them make more money and do something great, right? And revenues are, of course, are growing like consistently and increasing numbers, which is we think that's going to continue. We're in a good cash position, no debt, of course, SG&A is not rising dramatically with rising revenues. There are some -- and on the engineering services side, we'll see more of that, but we're not increasing overhead until we have the revenue.  It puts a lot of pressure on management, but that's what we signed up for. And so we're doing it that way. And as a result, we survive when others don't. We don't take the exorbitant risk. It's a well-managed capital resource and puts a good work. Net operating for instance as we said, for ONM to carry the whole company, and we believe we're going to witness that. It's not just a theory anymore. It's happening. And so we believe as the numbers continue to rise, we're going to see that happen. The PFOS technology is -- I'm considered the most strategic in the portfolio. why? Well, because $10.2 billion just went out the hands of 3M, it's a big deal and every drinking water supplier in the country. There's an article in Bloomberg just the other day entitled the poise inside us all, the poison inside us, okay? So this is a problem. It's not going to go away. There's a lot of work to do. We have a great solution for a really critical problem that can save our customers a lot of money and help our partners make a lot of money to do something great.  And then we have diversity. Sometimes we get criticism from my viewpoint, it's been the saving grace of this company, the ability to diversify, continue innovating for an extraordinary long period of time means that we have a base of assets that we can deploy, especially with the strategy through an event-proven partner, then we have a diversity that can carry growth in revenue for decades to come. And then our commercial strategy leans heavily on these partners, right, with higher margin distribution, lower capital risk. I mean, it's really pretty simple. It's so easy to say. It's hard to do, by the way. It's hard to find great partners, hard to find. Sometimes you have to grow with them into it, right?  So we're doing that as well. But without the partners, it would take us decades to achieve what some of our partners have achieved, We talked about Gartner, talk about in a second. It's a 100-year history. You just don't do it in a few years, but if you can support them and their mission to serve by increasing revenue and margin and supply is simply great for those customers, that's a win-win. And so it helps us and it helps them. There's a lot of reasons to be confident by large. A lot of analysts, there's a consensus that we're undervalued. Of course, I think that's part of the OTC listing as well as our need to uplift, and it has taken us a long time.  I always say the only thing I'm really sorry for is how long it has taken. It took a long time to get here. The thesis though is really pretty basic. And that is the pain of our journey is pretty much behind us. We have very little of that threatens our company. It's now all about exploiting its commercial opportunity and, of course, harvesting the fruit from planted seeds for so long.  Now before we do Q&A, I want to -- we rather couple down because there are obvious questions that we get just about every conference call. I want try and address them real quick. I don't mind additional questions either, by the way. You could ask whatever you want. What’s up with Garratt-Callahan, okay? The reason people are asking so much, which is a good thing, is we had projected success long ago, gosh, probably a year ago. And we're still here, right, working with our first customer acquisition, for landing our first accounts. And there's a number of them, a great company. We're so thankful to be working with them. The prospect of this is not just a couple. It's expanding. Recalling Garratt-Callahan also rapidly came to appreciate the diversity of our portfolio, and therefore, they're actually advancing commercial activity in that regard as well. We're predicting a big win with Geralyn. It's, again, taking a lot of work. And we're anxious to settle it once and for all with success, but we're confident, have no reservation about anticipation of success in Garratt-Callahan. Okay. That's number one.  What happened to the first industrial client? Remember, we did Phase 1, waiting for Phase 2. We're still waiting for Phase 2. That's the answer. And so you'd say, "Well, why, right? Why? Why aren't they just filing ahead? We don't actually know the answer. In this situation, we have a guess, and the guess is they're waiting until the government makes them do it. I think it's that simple, until the government says to do it, they're not going to do it. They're going to wait because why spend money today, when I can just assume spend it next quarter or the quarter after. I think it's that simple. But it's very much alive. We have ongoing communication and when they say go, we'll be ready to go.  Okay. What's the project timing on the mineral extraction? Once in a while, we hear some really, really harsh criticism. And I get it. I do get it. This is a project we took on years ago. And we work with the client to develop a mineral extraction technique for some waste, a very, very large waste stream. And we figured out how to turn it into well over $1 billion worth of product, multiple billion actually, almost $2 billion with a capital investment somewhere in the $30 million range. And so when that -- so we also filed patents by the way. I don't know be noticed, but we've actually received awarding patents in that area and it's focused. It's great. It's great. As soon as we got all that done, the partners, the business team that owns it, decided they had some business they need to get an order.  So they're working that out. And as soon as that's in order, we believe we'll move ahead and we're waiting for our customer. And you got to remember, this is -- that stuff has been there 70 years. And if it's worth over $1 billion, waiting a year or two to make sure you get it right, that's just fine. So hard to predict the timing, very much alive, not going anywhere, drilling communication with our customers, anxious to move forward, patented in the area, I believe it's going to be a winner. Absolutely no way to predict this timing, just so we're clear. No way. I wish there was.  What about the large waste energy projects. One went on hold in South America. We've been notified just recently like 2 weeks ago that it's back on. I'm not sure what back on means actually. And I say that with all grades to our customers, there's a lot of money at stake here. We've also presented 4 other projects in Southeast Asia, which are very large waste energy projects endorsed with concessions assigned by governments. And we've been asked to do the preliminary feasibility study, environmental impacts, the environmental impact study, preliminary feasibility, which is all about technology choice and budget and then ultimately due to the design work. These are very, very large projects. They're right in our wheelhouse of talent, and we've been informed that -- from our client that as the capital is released -- secured and released and executed upon where the choice. So standby. Again, hard to predict timing, but very much still engaged and active.  And the other question is, sometimes we have some things that we start and we stop and we get a little criticism for it. And I think it's interesting because to give you an example, one of those examples is, of course, the ballast water. We spent about 3 years analyzing that market and investing heavily in knowledge. And we were troubled through that journey because we had ideas about how it should be done. And while we investigated the market and negotiating with potential partners and contract manufacturers, and remember, this is back early before we had the engineering group, too. They were early in our journey. And basically, as we got into the execution mode with deadlines looming on regulatory enforcement, the International Maritime Organization and the United States Coast Guard came in and pushed out the compliance for ballast water exchange by 25 years. 25 years.  And so the way we think about that is what everyone in the entire industry, water industry was expecting to be the highest growth, highest margin proposition that the water industry has seen in the last 20 [Technical Difficulty]
Brian Loper : Looks like we lost Dennis -- let me see if I can get them reconnected. We do have some great questions. If you do have a question, please type it into the chat. Dennis you there?
Dennis Calvert: Yes, there you go. Yes, no problem. Can you hear me okay? 
Brian Loper : Yes. Now I can hear you. 
Dennis Calvert: I must have lost everybody. That’s probably because I'm talking too much. Let's do this. Let's wind it down. There's a bunch of questions you may have. I'm happy to field them. And again, I want to let everybody know this is the best time in the history of the company. And we believe that as hard as it was to get here, we believe success will be that much sweeter for everyone, not just the company, but stockholders and the performance going forward. The question at the moment is our market going to reflect our underlying true value.  Well, we certainly believe it can and it should. I think getting this -- we're witnessing some of the difficulty being on the inefficient market, OTC markets inefficient, that means at any given moment. The buyers and sellers may not match up with a high volume, high flow. We don't have institutional support. 95%, 98% of the world's money is not going to invest in our company, right? You got to get that to a national listing. And we want to do that when we're strong and powerful and not needy, and that time is coming. That time is coming. As we turn to profitability and start accumulating cash from operations those opportunities expand exponentially.  And again, when we go back to that thesis of where we add in all the commercial development, the most difficult, painful work is behind us. Now we get to reap the fruit of those investments. So let's open to questions. 
A - Brian Loper : All right. Thank you very much, Dennis. Certainly, an exciting time by Largo. It's great to see those financial charts moving up into the right. The pictures of Oak Ridge 2 looks really cool. I'd like to go check out your facility sometimes. Thank you for sharing that. 
Dennis Calvert: Yes. 
Brian Loper : Let's bring up the hard question first. So an investor writes here, so many of our projects, AEC, MLP, [W2E] and now maybe Clyra, to name a few, have not met revenue timelines that we originally thought for various reasons. Is there anything we might do differently to make this the exception rather than a norm? 
Dennis Calvert: Yes, that's a good question. Well, we've done some of that. I mean that is like a million-dollar question. So yes, so here's the answer. What we did with ONM was we went vertical, and we became a solution provider in an industrial market, and we found success, right? It was hard one, I will point out. I mean, incredibly difficult. But we did it. And we -- when we started, we said, we'll never be in the misting system business. And now we can make a misting system in 20 different ways because the duty is not anything, and we had to do it. And then we said we had built out manufacturing infrastructure and service infrastructure and tax and all this -- all this vertical work to be able to provide a solution.  Okay. That's what companies do when they don't want to depend on a partner, okay? So the choice is expensive. If you said, look, we're just going to go do it all ourselves for Clyra, then the amount of capital that's required is going to go up so dramatically and the risk of execution is dramatic and the time is dramatic. And so -- right? So what we -- in fact, we're facing that right now with Clyra. What happens is, do we want to go out and build a $200 million sales force? We can. It's not rocket science. Or do we want to launch with a global multinational. And the answer is you want to launch with a global multinational. If you can get that done.  Now getting that done is not easy, but let me tell you when it happens, the yields is multiples of what it would be we did ourselves. And the capital requirement is a fraction. So I think it's the right strategy. Unfortunately, it also means that you become dependent on partners some of these partners move faster, some are quicker. But when you hit it right, like a Pooph, it's dramatic. And I think that's what's going to happen with Clyra. I also think that's going to happen with PFAS. We're the food chain of potential partners for us in these companies, including the battery is at the highest level because the innovations that we now have the full support of internally knowledge, talent, engineering, science is so high that we can compete at the highest level.  And so I think it's getting easier and I wish it was faster. So there you go. I hope that answers your question. 
Brian Loper : Yes. Yes. Well, as a follow-up to that, what product do you see as the next revenue stream? And what is the approximate realistic timing. 
Dennis Calvert: Well, yes, I mean, yes, that's a good question. So of course, we have the owner VOC products, it's a whole family of products that's going -- that's already the market already generating cash flow and really having taken the company to profitability. Clyra is commercial. Doesn't have dramatic sales yet, but we have a major partnership. So let's assume that could happen in Q1. If it happens in Q1, you're probably looking at another 6 months before you're really going to see the financial implication but it's so big, it didn't matter. I just want to be clear. It doesn't matter. It's so big, it doesn't matter.  It will eclipse everything that we've done. And so we think it's worthy to play the game at that level, and we believe we'll be successful. So equipment. The PFAS projects, we've been talking about that for over a year and we finally got our first one. The first project is probably in around the $0.5 million range, just so we're clear. And we've got a number of projects that are on our table in final pricing and scoping with customers saying they want to do it, not in formal execution mode yet, but close. All in, that's probably $7 million to $10 million worth of business.  That $7 million to $10 million where the business probably spread out over the course of about a year. When you get an engagement, you're probably 6 to 9 months minimum before you actually get an installation. And we generally price ourselves with payment terms that are 1/3, 1/3 and 1/3. So if you get big projects, they're going to take you a year, you're probably 1.5 year spread out over the revenue, but you've got multiple of them going at any given time. Battery is pretty basic. You make batteries, you sell them. or you take your batteries that you make and you go in the business of providing storage and providing storage is a very interesting opportunity for us because we have such a significant value and price advantage for fixed line storage. It's also highly subsidized. There's a 30% tax credit for batteries.  In California, if you're going to install a solar panel, it's required to have a battery now. Okay. So do you want an expensive battery that has runway fire risk or would you like one that's domestic supplies last longer, lower costs and more energy. Well, that would be us. So it's a better battery for fixed site, better batteries. So again, all of that so much. I think the way to judge this company is are we finding early market commercial adoption and then the question is how rapid can we secure partnerships to really see these things expand. And I think what we're witnessing in PFAS is a good testimony to that.  Also, while Clyra has taken a long time, the stakes are so high. And I want to remind everybody that Clyra, on its board, if you go to the Clyra website, clyramedical.com. You'll see that we have Linda Park, Head of Licensing or Edwards Lifesciences; and Nick Valeriani, former CEO of Johnson & Johnson Wound Care. When we sit with folks like this and look at our exact position they point out to us that we are competing at the highest level in the industry with the top players in the world who will adopt, co-brand and launch product with us. And what we should do is we should do what everything asks us to do. Okay? And that's what we're doing. We're going to give them a tool that will allow them to capture the market, and be #1. And if we're doing #1, that's how you do it. And everyone we've talked about here is the potential number one. So let's get in a position with the right partner and the mono. And I know time is our enemy, but we're in a business now that requires extraordinary excellence in science and claims and data and regulatory. And so we've derisked them so far that now we're seeking partners that can move faster, and we're getting it.  So again, we hate the delay, but I can testify that it's worth it. 
Brian Loper : Great. On to the batteries. So the batteries you guys are creating is already accepted in the market as an alternative to lithium? Or is it viewed as like a concept? Will there be some type of compliance hurdle? 
Dennis Calvert: Well, again, there's always hurdles. So yes, I mean, innovation is -- the nature of innovation is who are you? Where do you come from? And why should I buy your stuff? I mean it's always there. Sure. The technology of sodium sulfur is not new, it is over 80 years old. And we point out that CATL, we're the leading suppliers of batteries out of China has a sodium sulfur battery. And people that are in the industry, technologists that are in the industry recognize sodium sulfur is having advantages over lithium, namely exactly what we said, higher energy density, no runway fire risk. So that's safer. It's a safer battery.  Okay. A lot of people do cellular sulfur, but they add other ingredients that are rare earth elements. We don't need to do that. That's unique. And I asked -- when we started this whole thing with our engineers, I said to Randy, I asked him, why is this group could make this happen? What is it that made the special sauce? And this is really important. Because here's the answer. Randy. Randy Moore. They did the work. They did the work, 8 years work. They did 8 years of work, okay? They experimented with all the different chemistries and the designs, optimize the design to make it functional for a fixed site battery. And so we got to piggyback that 8 years of R&D and come into building manufacturing. I mean it's crazy, and it's really good. And so yes, we'll be face objections.  Sure. Everybody is selling competing wearers. So yes, I can tell you from my personal experience in the field, looking at projects, mega partners, the general response we get is when will you be ready? So when that's the first? And how many can you make? And how much are they? That's it. They don't say, I don't believe you. what they say is, I'll take them. When are you going to be ready? And so right? So our challenge is to first make batteries. And what we found ourselves doing talking about ideas and not batteries. Well, it's this battery. Well show me one. Well, okay, and we're making batteries. Once we right? So then we test them and we go through a process of vetting and we bid on projects. And listen, I was just -- just to give you an order of magnitude, the batteries that are incorporated into battery farms, for example.  So let's say you have a solar offtake, that seller needs to back up to optimize the solar, right? You don't want to be loaded it all into the grid. You may be able to try grid scale storage for the public utility that's for the power company. They can move your electrons into your batteries. That's a good business. The order of magnitude, when you talk about a 500-megawatt plant, 500-megawatt or gigawatt when you look at these batteries, that's about $200-plus million worth of batteries. I mean you got to sort of get your head around that this is large scale, long duration energy storage in the most prolific expansion of the electrification of the world in the history of the world. That's what we're talking about.  So the other day, I was with the project and they said they've got a massive 1,700 acre solar farm to installing and they said, there's a 3.5-year backup in Tesla, 3.5 years to get a battery, a megawatt, okay? There is -- and again, we talk -- you hear about it and say you actually want to go out and buy one and you can't get it, okay? So there's a gap, and the gap is domestic supply, no rear earth, safety, long duration. And we believe we can play a role there.  Now how do we change the world? We get great partners. Well, that will include contract manufacturing to start for sure. A lot of money in this space too. It's also a technology we could sell. So how can we make money with batteries? We can sell batteries. We can sell designs. We can partner. We can exit. We can build battery farms. We can do all of that. We have the internal knowledge of this company to do every component that's required in that chain. That's what's unusual. And it's also why we said, yes, we're going to do this deal.  And so we got a little direct money. We'll go through that build-out stage, and we'll start making commerce. I'd like to see us in the commerce making business in Q2, Q3. Don't hold me to it exactly, but we think that we'll be knocking on the door. So we'll see how that unfolds. 
Brian Loper : All right. And to follow up on that. Can you give us a timeline validating the efficacy, meeting demand, fulfilling orders? And when we be able to produce enough batteries to make...? 
Dennis Calvert: I don't even know how to answer it. Yes, and that is funny, right? So that's an interesting question. If you said we're going to have to build our own factory. So let me just reiterate. We're not a company that builds it hopes they come. We're going to have them come, then we're going to build it. It's really important. So our key to the battery tech at the inception is to find good contract manufacturing. We've already had 2 conversations with potential partners. There is excess capacity because they can't get their lithium. I mean it's crazy, okay.  So there's battery manufacturing capacity in the marketplace. So that's one. We need to secure that and tighten it up. You can't tighten that up until we finish our production line design. Because you'll take that design to a partner and say, "Here it is, make it go until that starts, right? Okay? So once we have -- now the batteries that we're making out of Oak Ridge we can sell but it's a small production facility. So we can't go sell millions of batteries. We can sell thousands of batteries maybe, right?  But -- and that's a battery pack. So a small pack in our prior presentation, 25-kilowatt hours is about the size of a small air conditioner. We can produce that. We can make that out of Oak Ridge, Tennessee if we want or selling batteries. Our vision is bigger than that, bigger than that, right? I mean, we're talking about long duration grid scale. So if you're going to put in a 1,000 acres of solar panels, you're going to want our batteries there. That's what we're talking about, the order of magnitude, the $100 million account. Okay.  And just think about supply chain. But has talked us a number of things. In the early days, you got to the supply chain, and they say how much sell-through you got. Well, now we've got a lot. Now when we go, we say, here's what's happened and here's what's going to be. And guess what, everybody wants your business? The same thing is going to happen with batteries. Once we find some selling through channel and the projects that we can secure, we have the knowledge. We just need the infrastructure. So I think there's going to be a good 6 months a year of development work. But I suspect that we'll be in the business making mode well before them.  I presented just a couple of days ago, I was with a major hospital system and hospitals are really key customers for batteries because they need a backup power generation capable of withstanding the burnouts at the grid. And there are going to be lots of burnouts. I don't know if I know what that means. That means that great can't handle the volume coming at it. So when the burnouts happen, hospitals are down. So hospitals for any kind of resource say, I need a battery to every building. So I sat with a client, they put in 1.6 megawatts. 1.2 megawatts in the commercial market is about 1.2 million worth the batteries through Tesla. That's the market leader. And you would say, okay, so I can compete on price. I can compete on duration, my battery is going to be longer, and I could compete on safety.  So the guy like somebody says, when are you going to be ready? And can you get me 1.6 megawatts of energy battery storage backup in 4 modular systems and when are you going to be ready? I said, well, we've got a lot of work to do on supply chain. He says, if we signed a contract today, you want to install for 2 years. Do you tell me when you're ready to make a contract? That's the business. So I got to backfill that and make sure that we can make business. So I hope that answers the question. But -- it's pretty exciting actually. 
Brian Loper : Do you have any estimates on capital needs for the battery? 
Dennis Calvert: That depends on how yes. Yes, sure. I mean I think that business -- the way to say it is whatever capital is available, you can spend it all. Okay, and make the requisite income to justify the capital. It's a scale question. So somebody said, I'm willing to back it, right? And I'm willing to back it in a big way. That business, you could spend $350 million so fast. It would not even -- you wouldn't even flinch. Our thesis is simple. We're not going to do that until we have the sell-through. We're going to find the channel and make sure the partners are in place so that when we have capital requirement or outsourcing through manufacturing, that we have the volume to justify it, okay?  So how much is needed if you do it that way a fraction, a fraction, a fraction of the cap is the way we've run our company. I think about odor control. We spent years in validating it down the market, went vertical, that customer's cash flow. And then when the right partner shows up, we outsource manufacturing, cost-plus critical licensing, royalty on sales, aid them a territory and bargain for an equity position. Why can't we do the same thing with batteries? Of course, we can. That's the whole point. We have a technical asset that we own intellectual property on and know-how, that's special in the market, potentially a disruptor, and it empowers our partners to make a boatload of money and do something great.  That's the thesis of the company. So that needs to unfold on hold. I'm not ready to say, yes, we can do it with $5 million or $3 million or I'm not ready for that. The way we looked at it is I know one thing. When I have a battery that's viable with the spec that we believe it is, we're going to find a market. And the minute we find a market, we can make choices about whether we're going to go vertical, where they're going to out-license our partner, our supply chain, all of those options are available to us just like they are with every other asset in the portfolio. We're going to make the one that preserves our dilution, maximizes our replication and our margin to make money and do something great. And we need to get there. We're not there yet. I model both, and I've had some pretty significant money come to us and say, write the blank check, how much do you need? I think we're not quite there, but we're going to be there soon. So anyway? We’re stripping…
Brian Loper : Got it. Let's change gears here. So the New Jersey project is significant real-world installation on drinking water, PFAS remediation. But from a revenue perspective… 
Dennis Calvert: It's about $0.5 million. 
Brian Loper : Yes. Yes. So can you give some insight into size of the project, like flow rate, population size and sector that BioLargo partners have actively submitted project bids using AC technology. 
Dennis Calvert: I don't really want to do the detail, but I'll tell you what I will commit to -- I'll give you just a snapshot, but we're going to have some press out soon with the location and quotes from the partner and from the customer, and it's really awesome, but it's a small size. And from a technical innovators perspective, it's a great start. I mean if you ask an engineer, you know what he's saying because it allows us to get in the field, right, get in the field and do the work. And when it's smaller, you have less chance of error and things happening that you can't control. So this is good. It's a perfect start. I wish it had happened 6 months or a year ago, but it is a perfect start.  And so anybody that thinks its value is limited to the size or its revenue, they have no idea what they're talking about. The fact is it's drinking water in a community. It's a small one. And it's a small community, which is good. And there's many more coming. The -- we talked about the average sizes. So this would be on the smaller $0.5 million. Generally, the projects are going to go from about $0.5 million one of the largest that we're involved in is about $5.5 million.  Now I've seen them go up to $17 million and $20 million, okay? But those clients are not going to take us on as an early adopter until we've positioned successful execution in the market. And once we have that, then we're a contender probably with a partner to go after those $10-plus million projects, but not yet. You have to work your way up. So that's what we're doing. So small is good, and there's many more coming. So that's how we make our money. The big boys wouldn't even attach it. Perfect. Who are you? Huckleberry. We know how to do it. We now to do it well. It's a great start for us. And the bottom line is it still has the same regulatory compliance is the big boy deal. More detail soon, will be long. Yes. Go ahead. 
Brian Loper : Yes. So folks are wondering why more AEC projects have not begun 
Dennis Calvert: I think it's -- well, sure. It's both that and also regulatory. What happens is most yes, people don't want to be first. That's a big part of it. They want reference size, that's part of it. And then there's a lot of people that are just now coming into budget, got money for it or they've got regulatory pressures for it. And the people that jumped early have spent a lot of money on carbon, they're going to rebrand it. If they don't already, it's not going to meet spec. They jump too early and they're going to -- now -- in many of those systems that have been installed, we can actually help them make it work as some of our tools can come alongside those systems and really optimize them, including after RO, we can treat the concentrate comes out of an RO system in a very effective way. So it's all meant to be what it is.  We are here, ready, commercially viable with our first accounts, the regulatory enforcement is coming aggressively the largest tort litigation in the history of the United States just happened. Money is flowing. The public awareness of this problem is at an all-time high. And still, everywhere we go, we ask people in the audience, who knows what PFOS is. It's about maybe half the room, maybe 40%. Oh, what is that? I've heard a bad okay? And it's the most significant contaminant in the history of the industrial world. That's what we're talking about. And so this is a big market. It will go on for decades actually. So look, from our perspective, we -- we're in it to win it. And I think that we have a technology, we watch very carefully. Very, very carefully all the technical innovation. And any of the innovators with any sort of credibility, street credibility we showcase at the EPA with us. We know their systems. We know what they do and how they work and how they don't work and how they fall short of scalability and have extraordinary high pressures in heat issues and I mean, it's crazy. We see it all. Now we keep looking for someone that actually can compete head on with our claim, and we haven't seen it.  We have not seen it. So show me a technology. And again -- and by the way, we want to -- if there are, we want to know it. Show me technology that claims to be able to achieve non-detect, show me a technology that can do 140,000 the waste stream of the incumbent, show me technology that's module and scalable the way we are, right? I don't know what that is. We think we standalone. And so -- and now we've got highly skilled people in this company. We're executing on the frontline and doing the hard work to establish course market penetration and marketing. And we have a pipeline of potential, people in their expressed interest is scoping and pricing is already in process. That's probably $7 million to $10 million. There's probably another $15 million were the customers saying they want to do it. And now that process is a lot of work. And then there's -- as we said, there's over in the pipeline of people that have expressed interest. That's all it is. A lot of work to do, okay?  And then partners coming on as well. When you form a partnership with some of these companies, it's a long journey. It's not, oh, you're great, and here's my customers. It's -- you're great, and now let's get to know each other. And let's go -- I'll give you an example. This is a great story. We've been approached by one of the leading suppliers of equipment for fire -- emergency fire situations in airports, and they have PFAS. They supply the firefighting foam phone. So a big company, very large came to us that we'd like to talk about working together to go do the change outs on all these locations all over the world. We're one of the leading companies in the field. Okay. So just think about what we just said. That's 50-plus thousand locations that is, number one, that is firefighting foam. There's a change out and there's a cleanup required it's probably 2 or 3 weeks' worth of work at each location.  Small systems, portable, right, portable, modular, you can control everything. Can you talk about a great business opportunity. So here's the thing. In that situation you know what we say -- let's do one, let's do one and see how got this. And that's what we're doing. That's how it works. And one turns into 2, and then 2 turns into 5, same thing with Garratt-Callahan, One, then there's 3, then there's 10, then there's 40. That's what we're doing. We're earning our position. Okay. Yes. Again, I hope it's not easy, but it is good. Yes, go ahead. 
Brian Loper : Yes. Last question on that topic. So on the AEC customers not moving forward on Phase 2, if we are waiting and being told needed to do it, why did they want to go away from the GAC system they had been using and bring us in the first place? 
Dennis Calvert: Right. No, that's -- your -- the question is intuitive, which is they know they're going to have to make a change. So when is that? That's basically the question. The answer is we don't know all the details. But eventually, they're going to have to make a change. So we'll sit here and wait until they're ready. That's all I got. There's no discussion of the inner workings of how they make decisions. That's their business. They're a big country, too, by the way. They're going to make the decision that their science, engineering and legal tells them they can make. And if they can wait, wouldn't surprise me if they wait.  So unfortunately, it's just a reality of these very large capital projects. And we've had this happen over and over. We've got a big project near Sacramento. And the clients' promise is 3 different occasions we're going, we're going, we're going and then stuff happens if capital budgets get pushed off and they say, we're thinking we can wait about 9 months. Okay, we'll be here when you're ready. It's the nature of the business. And so what you do is you just have a lot more pending. I know it's hard on the front end, but on the back end, it's not going to matter. That's just the nature of the process.  So yes, so this is a customer that we believe will come full circle, and it will be a big one. And when they're ready to say, uncle, we get started, we're ready to go. And so far, that's what they tell us they're going to do. We've not said anything to the contrary. So I don't know how it's to answer any more clearly. 
Brian Loper : Yes. That was great. Thank you very much, Dennis. Those are all the questions for today. Okay. Let's just wrap here real quick. Again, I see how much all this take a little over an hour. 
Dennis Calvert: A little long. Let me try and keep it a little more pithy. Please reach out an e-mail us. We're happy to talk to you alex@ biolargo.com, get you on our e-mail list. Q4 is going to be a great quarter. I mean we're really excited. And some of these big partnerships are really coming to bear, which we're very excited about. And so we stay steadfast in sure, okay? And I know it's been a long time for some of you. It's -- in my heart of hearts, I believe it's worthy that we're going to go out and execute and make it worth a fortune and also do something very special for the world. So thank you for your support, and let me know how I can help you. All right? Thanks, everybody. Take care. Bye-bye. Have a good night. 
Operator: Thank you. This concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.